Operator: Greetings. Welcome to HTG Molecular Diagnostics Second Quarter 2020 Earnings Call. [Operator Instructions] Please note, this conference is being recorded At this time, I will turn the conference over to Monique Kosse with LifeSci Advisors. Please go ahead, Monique.
Monique Kosse: Thank you, operator. Earlier today, HTG released its financial results for the second quarter ended June 30, 2020. Before we begin the call, let me remind you that the company’s remarks include forward-looking statements within the meaning of the federal securities laws, including statements regarding expected additional collaborations with pharma customers in 2020, anticipated growth in the company’s RUO profiling business and related revenue, expected growth in and benefits from biopharma programs and collaborations, product development and commercialization activity and the potential impact of the ongoing COVID-19 pandemic on the company’s business. These forward-looking statements are subject to numerous risks and uncertainties, many of which are beyond HTG’s control, including uncertainties regarding the ongoing COVID-19 pandemic and its impact on HTG and its customers, that may cause actual circumstances, events or results to differ materially from those projected on today’s call. Factors that could cause events or results to differ materially, include those risks and uncertainties described from time to time in the company’s SEC filings. HTG cautions listeners not to place undue reliance on any forward-looking statements. HTG is providing this information as of the date of this call, August 11, 2020, and the company undertakes no obligation to update any forward-looking statements. With that, I would like to turn the call over to John Lubniewski, Chief Executive Officer. John?
John Lubniewski: Thank you, Monique, and welcome, everybody. Let me just jump right in. Starting with questions we’re getting almost every day, which is how has COVID-19 interrupted our growth trajectory? And what are we seeing with our customers that would indicate things are starting to return to normal? So let me try to frame it in terms of what we know, what we don’t know, and what we’re doing about that. First, I want to state that we firmly believe the strength of our core markets is unchanged. We believe biomarker technologies, like those at HTG, are the key to implementing precision medicine. Biomarkers help clinicians get the right therapies to the right patients, and this holds the potential to improve patient care in a more cost-conscious manner. We believe the future of biomarkers includes all the relevant molecules, DNA, RNA and protein. HTG’s RNA technology is well positioned now and for the long term to take advantage of this macro trend. This quarter, however, we’re definitely impacted by COVID-19, like many in the industry and many of our peers. Stay-at-home restrictions impacted our business for the simple reason that lab work can’t be done from home. Fewer people physically in the labs met fewer customers running our instruments in their facilities and sending us samples for lab services. April and May were very quiet months in both academic and biopharma. In late May and June, we started to see customers returning to their labs in the U.S. and resuming their work, especially in the academic medical centers. In Europe, with the exception of the UK, we’ve seen a similar trend as our academic medical center customers began to return to their laboratories starting in late May. Large biopharma, to a great extent, remains in a work-from-home mode globally, significantly impacting our product-related services revenue, for which pharma has historically been our largest customer. Let me turn to the numbers. Total revenue for the second quarter was $2 million. This compares to $5.8 million for the second quarter in 2019. Product and product-related services revenue or what we refer to as direct revenue, was $1.7 million compared to $4.4 million in the second quarter of 2019. While the impact of COVID-19 was significant, we did see a few bright spots in some parts of our direct revenue business, specifically in kit and instrument sales. Product revenue, which includes kit and instrument sales, came in at $1 million, nearly flat to the $1.3 million reported in the second quarter of 2019. This partial recovery of our product revenue reflects the diligent efforts made by our commercial team to work virtually with customers to plan studies and ensure that products were available so that when these customers return to their laboratories, we could ship instruments and kits. Collaborative development services continued on a reduced trajectory with revenue of $235,000 for the second quarter compared to $1.4 million for the second quarter last year. We remain very active in our sales efforts in this area, but understand that the slower return to work for most of our biopharma customers will likely delay our ability to contract new collaborations. Now let me take a closer look at our profiling business. Our sales teams remain very active engaging with these customers. As previously mentioned, the academic segment is partially backed but large biopharma remains very quiet. Our academic and biopharma partners presented a number of new posters and papers at the virtual AACR and ASCO conferences this past quarter, adding to the total number of publications. We now have more than 210 publications that reference our EdgeSeq technology, up from 120 at the end of 2018. We believe the growth in this number clearly shows the market adoption by our customers and validates our EdgeSeq technology as a cutting-edge, scientifically integral part of the research process. Last, we’ve also strengthened our distribution capabilities in Europe this past quarter by adding distributors in Denmark, The Czech Republic and Bulgaria. In biopharma, we continued to see the number of active programs time out due to work-from-home restrictions. As a reminder, for us to count our program, at first it needs to be a pharma-sponsored trial; second, it needs to be traceable in clinicaltrials.gov; and last, it needs to have been an active revenue project within the last 12 months. So with pharma not on site, either running samples or sending with HTG, projects will start to time out. With that in mind, we finished the quarter with 67 active programs, a net loss of 21 from December 31, 2019. In the first half of 2020, despite having 32 programs time out because of lack of activity, we were able to add 11 new programs and extend 18 others with selected biopharma customers that have partially reopened. We’ve also added two new pharma customers. We’ve also successfully negotiated a new commercialization agreement with QIAGEN. This agreement, unlike our previous agreement with QIAFGEN, is a pure commercial distribution agreement. HTG will now directly contract future CDx development programs with our biopharma clients, and QIAGEN will have distribution options for the end companion diagnostic. This should enable biopharma to work quickly and efficiently with a smaller, highly responsive HTG organization. To yet be assured that global market access options are available through QIAGEN for the diagnostic, should not be required for the therapeutic commercialization. This new agreement recognizes the original value we saw when we first started working with QIAGEN in 2016. HTG’s EdgeSeq technology can either be runed on an Illumina or thermo sequencer. And now with this new agreement in place, we have global distribution options through QIAGEN, one of the largest molecular diagnostic companies in the industry. Turning to our product development activities in Arizona and California, we continue to operate at a very high level. This is really quite an achievement, and it demonstrates the incredible commitment of the entire organization to keep driving key value creation work streams even in very unusual circumstances. In California, we achieved our second quarter milestone of initial assay configuration for the Whole Transcriptome, or WTTX, which is our internal name for the Whole Transcriptome product that’s in development. Our Arizona team met its Q2 milestones, which was to develop an immune signature on our existing EdgeSeq precision immunoncology panel. A purpose of immune signature is to quantify inflammation response in FFPE tumor sections between inflamed and cold tumors. This validated signature will be embedded in HTG’s reveal software for easy customer use. The inflammation signature output will be designed to provide an immunoscore, a stromal core and a tumor microenvironment score. We’re excited how we’re layering on applications to our panels to increase the utility of these products. They’re like applications on a smartphone. We expect to continue to bring out more and more applications in both oncology and immunology and embed them into easy-to-use reveal software for customer use. We look forward to continue to move forward in achieving our technical milestones as the year progresses. This has been a quarter unlike anything we’ve ever seen, but we’re adapting, and we’re working through it. Revenue will continue to be challenged while work-from-home restrictions are in place, but we will continue to drive key results as it relates to building more and better products, improving our business processes, and building our organizational capabilities so that when markets reopen, we will be a stronger and better prepared company than when things shut down. With that, it’s my pleasure to turn the call over to our CFO, Shaun McMeans, for a review of our financials. Shaun?
Shaun McMeans: Thanks, John. Total revenue for the second quarter of 2020 was $2 million versus $5.8 million for the same period in 2019. Direct revenue is defined as product and product related services revenue in our financial statements was $1.7 million for the second quarter of 2020 compared with $4.4 million in Q2 2019. This decrease was primarily the result of a decrease in product related services revenue associated with the slower turn of our biopharma customers from COVID-19 shutdowns. In addition, in 2019, this product related services revenue included significant levels of sample procurement and subcontracted laboratory services revenue for two large pharma customer programs, which did not recur in 2020. All product revenue decreased approximately $270,000 over the second quarter of 2019. We were pleased to see the return of some of our academic customers in the second half of the quarter and the helpful impact of our sales planning efforts through the COVID-19 shutdown that allowed for programs to resume when customers returned to their facilities. Collaborative development services revenue decreased year-over-year by $1.1 million, reflecting very limited activity on existing programs subsequent to 2019. Ongoing revenue reflects completion of remaining contracted development tasks as we await for the decisions on these programs. We do expect the continuing impact from COVID-19 on our second half revenue, especially the revenue from our large pharma customers. We are hopeful based on ongoing discussions with our customers that programs planned prior to COVID-19 will be restarted in future periods once our customers operations returned to pre-COVID-19 levels. Our cost of product and product related services revenue decreased to $1 million in the second quarter of 2020 compared to $2.5 million for the same period in 2019. In addition to lower revenue, this also reflects a decrease in low margin subcontracted laboratory services revenue in 2020 compared to the prior year. Research and development expense decreased approximately $1.5 million in the second quarter of 2020 compared to the same period in 2019, primarily related to the decrease in collaborative development services revenue. Costs related to these programs are recorded in research and development expense. Our continued new product related research and development expenses unrelated to our collaborative development programs were approximately $1.5 million in the first quarter of 2020 compared with $2.3 million for the same period in 2019. This decrease primarily reflects the impact of development staff reductions in the first half of 2020, along with lower program costs and less travel in Q2 2019. Despite the complications created by COVID-19, our California and Arizona development team successfully met their first half milestones. Our operating loss for the second quarter of 2020 was $5 million compared to $4.7 million for the same period in 2019. Net loss per share was $0.09 for the second quarter of 2020 and $0.17 for the same period in 2019. This reduction reflects additional shares of common stock and pre-funded warrants for common stock sold in an underwritten public and private offering in September of 2019 and common stock sold in the first half of 2020 through our at the market facility. As of June 30, we had approximately 67.1 million shares of common stock outstanding. We ended Q2 with $32.9 million in cash, cash equivalents and short-term available for sale securities. I will now turn the call back to John for some closing comments.
John Lubniewski: Thank you, Shaun. We continue to actively manage our business to deal with and adapt to the market uncertainties. We’ve adjusted our spending and priorities with a view toward maintaining our cash runway, despite revenue uncertainties to help ensure that we have the funding to maintain our key value creation activities, namely our technology and product development initiatives, so that we’re not compromising our mid and longer-term opportunities for HTG. I have no doubt that we’ve used this market pause to improve HTG, our technology and our products. We believe we’re well positioned in the world of biomarkers to be a platform technology for RNA gene expression. This is a large and fast growing market, and we have a novel and patented technology to take advantage of it. And as seen, we have a tremendously talented and motivated employee base, who are facing these challenges head on and are committed to fulfilling our mission. In closing, our strategy remains unchanged. Our priorities are going to continue to be to grow our base profiling business, to grow our pharma pipeline and to invest in R&D, both in California and Arizona. We believe our strategy is tight and sound, and we believe we have the people and the resources to achieve our aims. COVID-19 will pass and the economy will get back to work. Patients and payers will again need precision medicine and biomarkers enable that, and we have a world-class RNA solution ready. We look forward to restarting the growth trajectory of HTG when that happens. With that, I’d like to open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Puneet Souda with SVB Leerink. Please proceed with your questions.
Westley Dupray: Hi. Good afternoon. This is Westley on for Puneet. Thanks for taking the questions. Wanted to just start with the Whole Transcriptome Assay, kind of where things stand currently? I know you mentioned that you’ve met your Q2 milestones, but just wondering how things maybe have changed over the last few months in terms of looking ahead? And where we stand now versus the prior plan?
John Lubniewski: Hi. Westley, this is John. The Q2 milestone was an initial assay configuration for the full 23,000 gene panel that was achieved. We’re probably holding within, I’d say, a couple, three weeks of the overall development time line. The next milestone for us is a concordance study and concordance white paper to validate that our technology essentially is equivalent to an RNA-Seq equivalent, and that is also basically still holding on plan. So we continue to find new things every day. Product development is not a linear path by any way, shape or form. But when we run into things, we work together, both the Arizona and the California teams work together to resolve issues and make the appropriate modifications that we need to make to build a world- class asset. So I’m very, very proud of this team, both in California and Arizona, for just soldiering on in some pretty strange circumstance, but they’re just doing a heck of a job.
Westley Dupray: Great. Thank you. And then shifting over to the pharma development programs. I know visibility is a bit limited. It seems like PDP Two was flat for the last two quarters. Is this something that we can continue to expect moving forward? And I guess, can you provide any high-level commentary on plans for additional PDPs in the near term? I believe last quarter, you mentioned that one was knocking on the door. So just wondering kind of what the funnel looks like there?
John Lubniewski: Yes. Frustration is probably the tone for us here. It’s difficult for us to have any visibility or to get any feedback. All of these PDPs are with major pharmas. All of them are more or less in work from home modes. So we were getting very little guidance from pharma on that. And so that’s what kind of led me in my prepared comments to speak to the fact that I’ve kind of lowered expectations on what we can potentially see out of future collaborations until I think big pharma gets back to work and gets away from the work from home restrictions. So it remains to be a, I guess, on what we know, they’re not working. What we don’t know is when they’re going to come back.
Westley Dupray: Great. And then just a quick one kind of on balance sheet and OpEx expectations for the rest of the year. I mean things seem to be a bit more fortified right now. I guess, what levers are left to be pulled if we see some continued disruption here? And how are you feeling about the cadence through the rest of the year?
Shaun McMeans: Westley, this is Shaun. Obviously, $33 million on the balance sheet in cash and equivalents, we feel that we can sustain the target burn that we have talked about in the past, and get to the end of the year, still in a very healthy position. We have a couple of equity financing instruments, and we will use as needed to supplement any shortfalls that would be created by operations.
Westley Dupray: Great. Thanks for taking the questions.
Shaun McMeans: Thank you.
Operator: Next question is from the line of Kristen Kluska with Cantor Fitzgerald. Please proceed with your question.
Kristen Kluska: Hi, John and Shaun. Thanks for taking my question. So from your press release yesterday, it sounded like the agreement with QIAGEN was in part as a result of listening to what your biopharma customers were looking for. So on that note, I wanted to ask, while you were staying connected with your customers and of course, in a unique fashion right now because of the pandemic. What are you hearing as it relates to ways that you could potentially look to expand the business? And are there any particular assays or panels, in general, where you think there is some excitement for at this time?
John Lubniewski: Good question. So thanks, Kristen. Yes, the PR, let me first comment a little bit on the QIAGEN agreement. When we sign the initial QIAGEN development agreement back in 2016, one of the big things that we are trying to check the boxes, if you will, we were trying to check, was to make pharma more comfortable with our global distribution capabilities. They love their technology, they love our science, but there is also a commercial muscle part that we needed to bring to the table. And so unfortunately, when QIAGEN had struggles with their sequencer and that agreement kind of came apart, we also lost access to their global channel. So as discussed, we went out and talked to some different people. And quite frankly, the original value that we that started us talking at QIAGEN back in 2016 was still there, and it just made all the sense in the world not to throw kind of the baby out with the bath water and to sign a different type of agreement that let HTG directly contract with pharma so that. One, there is no middle man; two, we’ve got better economics on those future collaborations, and yet still not lose the global market access that QIAGEN affords us. So I think it really was a good deal for our customers, a good deal for HTG and a good deal for QIAGEN as we bring additional menu in their automation solutions. How to expand? We are very active working electronically and virtually. We are talking to new customers literally every day in pharma. We’re very pleased that we added two new customers last quarter. What we are seeing, however, though, is that the largest customers, which historically were the biggest part of our revenues, are the ones that are really in work from home. We’re seeing some biotech open up. So we track this on a weekly basis. So about 8% or 9% of our customer base is what we would consider to be back in business, about 40% or 45% is essentially partially back and about 40% to 45% still remain closed. And unfortunately, the close are some of the big guys. In regards to which assays, the workhorse products for us continue to be our oncology biomarker panel, which is essentially a cancer surrogate. Our precision immuno-oncology panel, which lets people look at the immune response, especially for I-O checkpoint inhibitors. And then increasingly, we picked up quite a few new customers for a new autoimmune product, and we’re actually putting out some statements to work. So that product is starting to get traction as we were hoping it would. I hope – I think I answered the questions.
Kristen Kluska: Yes, you did. Thank you. And then during your prepared remarks, you talked about the number of publications nearly doubling over the last 1.5 years here. So I wonder if I just ask, in general, how you think that these publications could be of most help for you. Is it just driving awareness? And then also on that note, in a virtual world, and I know you had the head-to-head data at ASCO, but how is it important as you move to a virtual environment in general?
John Lubniewski: Yes. It’s a different time. The days are kind of going to – in ASCO or an AACR and Tregs and through the posters and papers, I think, might be gone forever. So I think publications and electronic marketing are probably more important than ever before. And so for us, you got to remember our technology, we really didn’t get it out there until about 2014. It’s when our patents were issued. So we’re just now – and realizing that publications can take a couple of years, we’re now starting to see that wave of publications that kind of validates our technology and the fact that it’s got utility. So really pleased to see that because many times, when someone else is faced with a similar problem, the first thing they do is, they may do a PubMed search in their field. And if our technology is referenced as a technology available, especially in a favorable light, we’re more inclined to get those kind of unsolicited request. So I think publications are probably one of the most important things to bringing future customers. And then from there, it’s literally a word-of-mouth kind of thing. It’s a fairly tight and small market in regards to the number of KOLs. So it’s really important that when we have good customers, they’re talking to other people, and again, we’re seeing a lot of our new customers coming to us as either people that have left one account and move to another and they’re bringing us with them. Or they’ve talked to a peer a colleague, and we’ve been recommended, and that’s how we’ve been brought in to look at a project.
Kristen Kluska: Okay. Thank you. And then my last question is just that I understand that, I understand that some of the programs are timing out in light of COVID-19, but could you describe what have been some of the key drivers towards adding new projects during this time? And are these mostly coming from the customer base that’s fully back to work? Thank you.
John Lubniewski: Yes. A lot of it is coming – yes, it’s coming from smaller folks. I think we’re doing a better job at finding and using information like it’s available through folks like yourselves that profile out the portfolios and the drugs. And I think our sales team, I was mentioning, we’ve been doing a lot of work in kind of this market pause to try to teach them how to find the drugs where our technology might be a very good fit for biomarker development. So what we’re starting to see is an increasing number of meetings and an increasing funnel of opportunities that are building in our pharma business for those people that are back to work. And even those people that aren’t back to work, we’re still getting meetings, kind of selling our technology, unfortunately, just knowing that we’re not going to get projects until people can actually either access their laboratories or access to bio repositories.
Kristen Kluska: Thank you.
Operator: The next question from the line of Alex Nowak with Craig-Hallum. Please state your question.
Alex Nowak: Great. Good afternoon, everyone. Just hoping you could speak to the trends you saw in July and expect for the remainder of the year here. A number of life science names who report in the past few weeks, and it seems like they’re seeing a rebound of products being sold into the lab, even if they’re only selling into the oncology space. So I’m just curious, why isn’t HTG seeing a similar improvement as biopharma starts to come back online?
John Lubniewski: Yes. Thanks, Alex. I mean what we saw in July is probably consistent with what we were seeing in June. We’re not seeing an increase in activity. I think we’re seeing kind of a similar trajectory to June. What we saw was, I think, an optimistic point of view from academics that they would be back in total business by July. And I think with the kind of the surge in COVID, everyone kind of backed up a little bit. And they didn’t go backwards, but they didn’t increase the rate of coming back. The other thing that we were curious what was going to happen was in Europe. I was wondering if they’re going to take their usual summer holidays, given the fact that the latter part of Q2 was basically a holiday. And for – in our case, at least for the customers we have, Europe is continuing with their plan, July and August vacations, and that makes for a very quiet revenue period for us in Europe. In regards to why we’re seeing something different, I don’t know. I’ve been following other people’s biopharma businesses that are working with retrospective or prospective studies, folks like Garden, and they seem to also have been hit by this. I think the folks that actually have tests on market where like an EGFR mutation test or something like that, that’s actually being used to drive a patient treatment, they’re going to be less affected than folks actually working on retrospective or prospective studies, which are really struggling to enroll patients right now.
Alex Nowak: Okay. Understood. And then, understanding your comments around the Whole Transcriptome Assay, we should be seeing a white paper here over the last couple of months. Beyond that, remind us the timelines, when should we have the assay, call it, finalized, locked down and then ready to be sold to pharma? At what timeframe would that be?
John Lubniewski: Yes. I think the second half deliverables from that I’m expecting out of that team is yes, first to white paper. That will probably be coming in right at the end of the Q3 or within the first couple of weeks of Q4. And then another major milestone is, we want to sign up our first collaboration partner with an early access program. We would expect to start fully commercializing this product midyear 2021. First, in the RUO mode and then clicking over as a universal companion diagnostic and adding that to pharma services offering, and then also moving that first into some of the claims work that we plan to have for our own comprehensive breast program. But also begin to work with some LDP partners in a CLIA environment where this would serve as kind of a substrate or a universal RNA operating system. And then they could actually build their own LDPs on top of this universal panel.
Alex Nowak: Got it. And you had the first pharma collaboration partner identified? And now you’re just moving in through the process, or is that still a seeking who makes sense here for the first partner?
John Lubniewski: Well, for the universe of companion, that’s still a little bit down the road. When I say, our first market access partner for a collaborator in Q4, that is likely going to be either an academic institution who’s looking to bring the technology in to their CLIA Lab or it could be another test developer who has content because, again, we’re kind of positioning the company as a technology provider, and we’re looking to partner with content. We’ve got several dialogues going on that front where we essentially would you need to use the overused metaphor, but be the impel inside for their particular medical value proposition.
Alex Nowak: Okay. Understood. I appreciate the clarification there. And then just, Shaun, of the couple of different liquidity options that you have with the ATM and Cliniport Capital, was any of those used during the quarter? And just the amounts raised and shares issued would be helpful? Thanks.
Shaun McMeans: Yes. We did use the ATM facility during the quarter, Alex, to the tune of about $1.4 million and $4 million for the first six months of 2020. Number of shares issued roughly about $6.5 million.
Alex Nowak: Okay. Perfect. Thank you.
Operator: The next question is from the line of Yi Chen with H.C. Wainwright. Please state your question.
Blair Cohen: This is Blair Cohen on for Yi. A couple of questions from me. First, how is the new mass agreement with QIAGEN Manchester different from the previous collaboration?
John Lubniewski: Sure. Thanks first of all. Thanks for dialing-in. The old collaboration, I’ll make it real kind of simple. It was designed so that QIAGEN would contract with the pharma, and then we would write an SOW under that agreement with QIAGEN that meets the requirements that QIAGEN committed to. It was kind of a almost treated HTG as a subcontractor. Even now, we were – in all three of those programs in direct contact and had brought those customers to QIAGEN. It also involved the profit split so that QIAGEN got a 50% split on recognized profit after cost. And it was really built on the assumption that eventually, all of these things would be put into a QIAGEN workflow. There would be an HTG Edge box that would sit in front of the GeneReader, and there’d be a significant contribution from on the workflow front from QIAGEN. Obviously, we were disappointed. They were disappointed that the GeneReader didn’t make it, but we – so this new agreement is literally a distribution agreement. And what it says is, HTG now is free to directly contract for companion diagnostic opportunities with biopharma. And as you probably imagine, we’re pretty nimble and quick and agile at being able to do that, and yet offer up distribution options for the end companion diagnostic through QIAGEN. So it basically gives the pharma optionality on global market access for day 1 market-ready access for the drug and the companion. So – and it also leverages our pre-existing development agreements with Thermo and with Illumina. So we build them on their sequencers. So it’s a little less of an end-to-end solution than what was originally envisioned. However, the new agreement meets our needs of being able to have market access. I think it’s good for QIAGEN because it gives them another stream of revenue when companions come through. And it meets the needs of pharma because they like working with kind of fast and nimble technology providers like HTG, but still have the security that they’ve got global market access through QIAGEN. So this one is just a straight distribution agreement. The other one was a development and commercialization agreement.
Blair Cohen: Okay. Thanks. And what kind of implications would this have on revenue for 2020 and 2021?
John Lubniewski: Well, in normal circumstance, I’d probably be able to give you a little better guidance. I mean, what we’re saying – back to what I was saying, what we’re seeing in pharma is just a very ambiguous environment in regards to when they potentially could be coming back from work from home and seeing us. This is really an enabler and something, I think that was pretty important for us to get in place to kind of sign the next collaboration agreement. I think we may be able to sign up a couple of smaller biotechs because many of them have started to come back. But until big pharma returns to work, I think we’re going to – it’s likely to be impacted by the work from home restrictions. So I guess, I’m just telling you is, we really don’t have great visibility to that right now.
Blair Cohen: Okay. Great. Thank you.
Operator: This concludes our question-and-answer session for today. Now I’ll turn the call back over to management for closing remarks.
John Lubniewski: Great. Thank – first of all, I want to thank everyone for joining us today. And in particular, I again want to thank the employees here at HTG for what I think are just extraordinary efforts that they continue to make to help us build and grow this company. Additionally, I also want to thank our Board for their help and guidance. We’ve had several ad hoc and virtual meetings over the last quarter, and it’s been highly appreciated. And last but not least, I really want to thank our shareholders. These are extraordinary times, and your continued support means the world to the management team and the employees. So with that, we look forward to updating you again on our next earnings call. Thank you.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.